Ignacio Arambarri: Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2022 Fiscal Year Results Presentation. As usual, we will follow the normal format given in our presentations. We are going to begin with an overview of the results and the main developments during the period given by the senior executive team that usually is with us. Mr. Ignacio Galan, Executive Chairman; Mr. Armando Martínez, CEO; and finally, Mr. Pepe Sainz, CFO. Following this, we will move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web. So please ask your question only through our webpage, www.iberdrola.com. Finally, we expect that today’s event will not last more than 60 minutes, hoping that this presentation will be useful and informative for all of you. Now without further ado, I would like to give the floor to Mr. Ignacio Galan. Thank you very much again. Please, Mr. Galan.
Ignacio Galan: Good morning, everyone. Thank you, Ignacio and thank you very much for joining today’s conference call. In 2022, net profit reached €4,339 million, up 11.7%, driven by growth in all geographies with the exception of Spain, where net profit fell by 90% as the year affected by high cost of gas due to the crisis in our market that we did not pass to our consumers as well as a low hydro resource and regulatory interventions. In Mexico, as well was affected negatively in this case, was offset by the evolution of exchange rates. This strong operating performance was driven by a new record in investment reaching €10.730 million, up 30%. Our global footprint and our long-term relation with all major suppliers that allow us to increase our investment even in the current situation of global supply chains. In 2022, we made purchase worth €17,800 million, also a new record, securing our investment program for the next years. And our workforce reached 14,000 employees with 4,700 new hires over the year. EBITDA grew 10% to reach €13,228 million, thanks to the positive evolution in the United States and Brazil, more than offsetting the decline in the Spain result in the slowdown in Mexico, as mentioned. Operating cash flow grew 25% to record €1,123 million, leading to an increase of 240 basis points in our FFO to adjusted net debt ratio to reach 25.4%. And our liquidity stands at €23.5 billion, thanks to our last access to green and sustainable products. Our financial measures recognize our leadership in climate and environment action in 2022 will reduce again our carbon footprint to only 59 grams CO2 per kilowatt hour in Europe, so we are in average of almost 300 grams, the rest of the area. This set of results has allowed the Board of Directors to propose the Annual Shareholders Meeting a total shareholder remuneration of €0.14 per share and increased close to 2% and above the target for 2022. As mentioned, in 2022, we invested a record of €10,730 million, 13% up versus last year, with 90% allocated to networks and renewables. By geographies, yield received 38% of total investment, around €4,100 million, in which 27% was invested in Spain, around €3 billion and 11% in other European geography, Germany or France mainly. 21% of the group investments were made in United States, €2,350 million, almost two-thirds in transmission and distribution networks and €2,100 million in Latin America, mainly networks in Brazil. Around €1,100 million or 30% of the total investments were directed to UK, half to transmission and distribution and half to renewable projects awarding the last CFD auctions, and the remaining €400 million were invested in other countries, mainly in Australia. Our regulated asset related network reached €39.2 billion, thanks to the investment of €4,700 million in the period. More than two-thirds of this amount was allocated to distribution and transmission in United States and Brazil, reaching €12.1 billion and €8.1 billion respectively. The remaining €1,100 million were invested in Spain and UK in similar wrap with around €9.5 billion each. This increase in net worth assets will accelerate the coming years as more investment we will require to electrify all energy uses and continue integrating new renewals. In 2022, our renewable capacity already reached 40,000 megawatts. Half of our operating fleet is offshore wind, more than 20 gigawatts over 14 countries and 3 continents. We also have 1,250 megawatts of offshore wind, with almost 3,500 additional in construction, of which we expect to commission 500 in France already in 2023 and 1,300 in 2024 in the United States and Germany. Hydropower amounts for one-third of the total capacity around 14 gigawatts, including 4,500 of storage after commissioned the Tâmega giga battery, one of the largest hydro facilities in Europe built in the last 25 years. And the solar increased 39% during the year to more than 4,250 megawatts, 11% of our total renewable installed capacity. On top of that, we have 7,700 net construction, along our different geographies, they will be in operation, as I mentioned, from ‘23 to ‘26. 30% of this amount is in UK, mainly in offshore and offshore wind, 20% in Spain solar PV and onshore wind, our other European countries accounted for 21%, including offshore wind in France, Germany as mentioned, hydro in Portugal and onshore wind and solar PV in Italy and Portugal, 50% correspond to United States mainly offshore wind and solar PV and 6% related to onshore wind Australia, LatAm. As of December, we have €6 billion of investment underway in assets, which will mature between ‘23 and ‘25, 60% of this amount corresponds to the offshore wind project of Vineyard Wind 1 in U.S., Saint-Brieuc in France, and Baltic Eagle Windanker in Germany. All-in-all, more than 80% of the capacity installation target for ‘23/25 is already in construction. Reported EBITDA is up 10% to €13.2 billion, showing the advantage of balanced mix of geographies and businesses. 75% operating results come from A-rated countries. And networks and production and customers contribute around 50% each. Networks operating profit grew by 21%, driven by the expansion of regulated asset base in transmission and distribution and tariff increases resulting from our stable regulatory framework, mainly in Brazil and United States. Energy production and customers EBITDA increased by 4%, driven by contribution of new renewable capacity across different geographies offsetting the lower hydro products in Spain and the negative impact of higher energy costs in our retail business in UK and Spain. By geographies, 39% operating profit comes from European Union, with a 11% decrease due to lower result in Spain. 25% correspond to LatAm, up 28% versus 2021, due to the strong performance in Brazil driven by renewable capacity addition, higher hydro and wind output and the tariff increases in networks. United States recorded 32% growth in the IFRS, thanks to positive underlying performance and the cash recovery pending amounts already accounted for in U.S. GAAP. 15% operating profits come from UK, where retail business was still impacted by the price cap, which does not reflect full cost despite increases carried out the year. Fortunately, the government measure implemented to recover pending amounts, are working well in 2023, as we will see later. Our listed subsidiaries, Avangrid and Neoenergia also released results these days showing a strong performance in both cases. In the United States, Avangrid’s net profit reached $881 million in GAAP up to 25%. Thanks to $2.7 billion of investment during the period, 2/3 in networks and the rest in renewables. EBITDA increased by 5% to $2,456 million, driven by positive impact of tariff increases and operating growth in renewables, almost offsetting the non-recurring results registered in this meeting last year to the storm in Texas. The regulatory proceedings related with new rate cases filed in our RIIO decision are going as expected. A settlement has been reaching Massachusetts and discussions are ongoing on the rest of the states, aiming a multiyear in most cases. In relation to PNM transaction, the Senate has confirmed the new members of the New Mexico Public Regulatory Commission and the new Chief of Staff has been appointed. We expect the approval process to move forward in the coming months. Avangrid also has made significant progress in addition of renewable projects with 395 million megawatt installed year-to-date and 586 megawatts more under construction. In offshore wind, construction works on Vineyard Wind 1 continue on track to reach commercial operation by 2024. In Brazil, Neoenergia’s net profit reached BRL4,718 million, up 20%. EBITDA increased 18% to BRL11,582 million, driven by record investment in more than BRL10.3 billion. Close to BRL6 billion were invested in distribution and over BRL2.6 billion in new transmission infrastructure. In Renewables, Neoenergia invested almost BRL1.7 billion, adding 554 megawatts, including the largest wind farm in LatAm Oitis with 410 megawatts installed during the year, 143 of new solar PV. The company also secured future investment in transmission with the award of two additional lots that will add 2,000 kilometers of high-voltage lines for a total of 8,000 kilometers of line in 18 substation they will be commissioned in the next years. Regard asset rotation, Neoenergia reached an agreement with Eletrobras to swap hydro asset rationalization portfolio and progressing it to other transactions, a partnership for each transmission businesses, which is already in the final stages of negotiation and the divestment of all thermal generation with conversation ongoing. Over the year, the continued improvement in our financial profile with debt below our initial estimate, thanks to the strong cash generation. The 25% increase registered in operating cash flow to a record figure of more than €11 billion has led to an improvement of 240 basis points in the FFO over adjusted net debt ratio to 25.4%. And we have maintained access to financial market in very competitive terms as Pepe will detail later on. Regarding asset rotation, we have already completed the mentioned swap of certain hydro assets in Eletrobras in Brazil, and we reached a relevant agreement with Norges Bank Investment Management. The first step in this partnership will be a co-investment deal in Renewables in Spain worth €1.2 billion, and we expect to expand the alliance to other geographies, following our strategic fit and common ambition of decarbonization. In addition, we are progressing in different interactive session that we expect to close in the coming quarters, like partnership in onshore, wind and solar PV taking advantage of this wide portfolio as well as some of our offshore wind project in thermal generation and transmission in Brazil, as already mentioned. We will give you more information on these opportunities move forward. In our Capital Market Day in November, we mentioned different energy policy initiatives across our geographies with a common target: accelerate decarbonization electrification. Solar wind have shown significant growth in the last 2 months. In the EU, the consultation of the electricity market reform closed a few days ago. The document published by the European Commission highlights two main targets of this initiative: creating incentives to new investment in renewables, to improve energy autonomy and decarbonization and improving current market arrangement with more incentive to long-term PPAs. Vast majority of member states have released a statement asking for reform based on the current European framework, which has delivered good results for European citizen and industry for 30 years and market mechanism. In addition, the Net Zero Industry Act is a relevant step forward to speed up permitting process, including new incentives to renewables and network projects, support the European supply chains for green hydrogen and other green products with the aim of increasing European competitiveness and promoting industrialization. In this line, European Union Innovation Fund has included a new instrument to promote green hydrogen and their recent Delegated Acts give us more clarity and criteria to consider hydrogen projects as renewable. So yet for the detailed implementation, these measures are a step forward to help Europe match the attractiveness of the U.S. framework of the Inflation Reduction Act, which is already accelerating investment in renewable networks in green hydrogen, thanks to its clarity and simplicity. In tax incentives, they now will be easier to monetize, had been extended to supply chains and to promote electrification sectors as transport. In the UK, new policy documents have been published like the Draft Energy and Just Transition Plan in Scotland and the Holistic Network Design, reinforcing the acceleration of investment in renewables, transmission interconnection and distribution. This policy approach is being followed by the latest regulatory frameworks. RIIO-T2 is in place and progressing as expected, with the TOTEX approved for Scottish power of around £2 billion for the period ‘21 to ‘26. In distribution, the final determination of RIIO-ED 2 has been published as well, confirming an authorized TOTEX for our UK subsidiaries, they will reach £4 billion in nominal terms and a return on equity of 4.75% plus inflation and incentive, driven RAV growth to £1.5 billion to reach £6.5 billion in nominal terms by 2027. Finally, the last regulation introduced by the government are improving the situation in retail markets, allowing the recovery of deficit created over last month and adjusting the price capitulation methodology to reflect the true cost of supply. Before passing the floor to the CFO, let me stress that this set of results delivers our commitment to all stakeholders. In terms of social dividend during 2022, we have increased our focus on increasing sustainable value for our communities, have upgrade our targets on decarbonization aiming to be carbon neutral already in 2030 by – in Scope 1 and 2, a net zero in all scopes before 2040 and on biodiversity targeting to have net positive by 2030. Our performance in 2022 already show significant progress in carbon emission, we will reduce once again to only 59 grams per kilowatt hour in Europe, so we are almost 300 grams to our peers. A circular economy has announced the first industrial scale wind turbine blade recycling plant in Europe, in Navarre, Spain. Last year, we also set a new record of purchase reaching €17,800 million globally to sustaining more jobs across our supply chains where we made 4,700 new hires and our tax contribution increased to €7.5 billion with more than €2.6 billion in Spain, while Iberdrola is one of the three largest tax contributors. Following to our commitment with Just Transition, we have made tangible progress to reindustrialize areas where we closed our last two coal facilities in Spain, in Asturias and in Palencia. We have just announced a new manufacturing plant for PV modules in Asturias, and we are progressing development of new solar PV plant in the other. In terms of diversity and inclusion, more than 19 nationalities are represented in our workforce. And we continue increasing our investment in learning and development, having reached 68 training hours per employee in 2022. We have also continued to implement best market practice in corporate governance, having split the role of Executive Chairman and CEO. Finally, we’re green sustainable financing around 87% of our CapEx in 2022 is aligned with EU taxonomy. And of course, with this set of results, we are also demonstrating our commitment with shareholder remuneration. The Board of Directors will propose to the general shareholders meeting a supplementary remuneration of €0.31 per share on top of the €0.18 paid in January, for a total remuneration of €0.49, an increase of close to 10%. I will now hand over to the CFO, who will present the results in more detail.
Pepe Sainz: Thank you very much, Chairman. Good morning to everybody. As the Chairman has explained, the EBITDA was 10.2% up to €13.2 billion and net profit grew 11.7% to €4.3 billion, towards the top end of the guidance. Tax on revenues in Spain will be accounted in ‘23/24 versus ‘22/23, taxes that we are appealing in the courts and that we expect to win. FFO was 24.8% up to €11.1 billion, a record cash flow generation, as the Chairman has pointed out. The dollar rose against the euro by an average of 12.4%, the pound by 0.8% and real by 17.3%. Revenues increased by €15 billion to €53.9 billion and procurements grew by €12 billion, reaching €33.7 billion. As a consequence, gross margin rose by 18% to €20.2 billion and 12% excluding the FX impact. Net operating expenses reached €5.2 billion, excluding FX and nonrecurring effects, mainly linked to the positive impact of the asset rotation in ‘21, one-offs in the USA reconciled in gross margin and other minor impacts, net operating expenses grew by 5.6%. Analyzing the results by businesses and starting by networks, its EBITDA grew 21% to €6.5 billion and 11.6% excluding FX impact, showing a balanced contribution to the EBITDA from the different geographies. Spain was the only country with a negative performance, its EBITDA fell 1.5% to €1,608 million with €70 million negative impact linked to regulatory and legal issues, partially compensated by €20 million of negative one-offs in ‘21. In Brazil, EBITDA grew 13.1% to BRL10.5 billion, driven by our increased asset base, positive impacts in distribution from tariff adjustments and operating efficiency. In the U.S., IFRS EBITDA was 34% up to USD 2 billion. After a $550 million positive one-off recognized in the Q2 linked to a New York order that allows the accrual the recognition of certain regulatory assets into IFRS earnings, providing a more stable EBITDA and aligning IFRS and U.S. GAAP. In addition, there is a positive evolution of the business derived from the rate cases linked to higher tariffs, higher asset base and efficiency improvements. U.S. GAAP EBITDA, as a consequence, increased 10% to $1.7 billion, not accounting for the above-mentioned one-off impact, which is only, as I mentioned, in IFRS. Finally, in the UK, EBITDA increased 3% to £932 million, thanks to our higher asset base and efficiencies. Energy production and customer business EBITDA grew 4.3% to €6.7 billion and 0.5%, excluding the FX impact. In Spain, EBITDA fell 4.1% to €3,460 million due to, firstly, higher cost environment not passed to customers by the group in its commercial policy, the lower renewable production and finally affected also by positive court rulings and others, especially in the fourth quarter of ‘21. In the U.S., EBITDA decreased 11% to $760 million as a consequence of the contribution of the Texas cold snap accounted in the first quarter of last year and a $24 million provision for Commonwealth offshore wind farm partially compensated by 4% higher output due to new installed capacity and better prices. In the UK, the EBITDA grew 21% to £712 million, driven by higher wind output, partially compensated by higher energy procurements at higher costs, recoverable in the first half of this year, mostly in Q1. In Mexico, EBITDA fell 2.4% to $899 million. ‘21 was negatively affected by the Texas cold snap and that has been offset by lower thermal production this year in the country. In Brazil, EBITDA grew 36% to BRL2,184 million, driven by better performance of the generation business and increase in renewable capacity. Finally, in the rest of the world, EBITDA was up 14% to €427 million, with higher contribution from both onshore and offshore business across the different geographies, as capacity has increased in onshore renewables also. Depreciation and amortization plus provisions grew 12% to €5.2 billion and 6% excluding the FX impact. Depreciation and amortization rose 11.5% to €4.7 billion, mainly due to the higher network asset base and renewables growth. Excluding the FX impact, growth was 5.7%. Total provisions increased by 21% to €564 million, 12% excluding the FX impact. Nevertheless, I would like to stress the improvement of key ratios versus ‘21. The ratio of bad debt provisions versus billing fell to 1.1%, 3% better than last year. The overdue debt of more than 90 days over the billing ratio fell to 4.1%, 6% better than in ‘21. December ‘21 financial results included €207 million of positive one-offs. Excluding these one-offs, recurring net financial expenses grew €628 million to €1.8 billion. Debt-related costs explain €510 million of this €628 million, €202 million due to higher cost of debt, basically due to Brazil compensated at the EBITDA level by revenues indexed to inflation. Excluding the debt in Brazil, our cost of debt worsened only 10 basis points to 2.99%, thanks to our policy of fixing most of debt cost. Another €145 million increase was due to higher average net debt balance and the FX impact explained €163 million linked to the Brazilian real and the U.S. dollar appreciation. Non-debt-related costs increased €117 million, mainly linked to negative mark-to-market of FX hedges. The record cash flow generation with our FFO of 25% in the period, compensates the growth on investments and FX impacts, allowing the company to maintain debt under control. Thanks also to our divestments and active working capital management that has allowed us to mitigate negative impacts. Let me highlight that we expect net debt to be around €44 billion, €45 billion by December ‘23, if we exclude the PNM transaction; and around €53 million, €54 billion, if this transaction is considered, also assuming that the FX remains stable. As a consequence of our strong cash flow generation and debt management, our main adjusted credit metrics continued improving and in solid levels. As the Chairman has pointed out, our FFO over adjusted net debt rose to 25.4% or 240 basis points better than in ‘21. Our retained cash flow to adjusted net debt was up to 22%. Our adjusted leverage ratio was 42.8%, and our adjusted net debt-to-EBITDA remained stable around 3.3x. At present, we maintain an ample liquidity of €23.5 billion with 26 months coverage of our financial needs and 15 months in a stressed scenario, including the possible PNM acquisition. In addition, our sources of financing continue to be highly diversified. Currently, the bond and commercial program markets represent around 64% of our resources, bank financing is around 14% and supernational development lenders that have increased these years have another 16% share. In ‘22, Iberdrola signed €10.7 billion of new ESG financing, bringing the cumulative total to €48.6 billion, remaining the world-leading private group in green bonds issued. Our average life of debt is above 6 years. We refinance the €1 billion of our hybrid that was maturing in May at 4.89% better of course than what we had expected. Net profit grew about 12% to €4,339 million. ‘21 taxes included €471 million of negative one-off in the UK, while ‘22 taxes included positive one-offs corresponding to Brazil and the CIP restructuring. Now the Chairman will conclude the presentation. Thank you very much.
Ignacio Galan: Thank you, Pepe. 2022 results show our ability to deliver a strong operating performance in a very difficult complex market environment, thanks to our balanced portfolio of business and geographies. Looking at 2023, we expect additional growth driven by investment, 11 additional billion, on top of the 11 we have already made in 2022, adding 3,000 megawatt of renewable capacity, including offshore wind and increasing our networks asset base in all geographies driven by new regulatory frameworks in the United States, Brazil and UK. On top of that, we have already seen a normalization of hydro resources. There is a level already recovered and wind output after a low wind factor in the last month of 2022. As mentioned in the presentation, asset rotation and partnership are also progressing well, with several potential transaction in advanced stage of negotiation, which together with cash flow generation and our ongoing access to financial markets will allow us to keep our net debt around €44 billion to €45 billion without, of course, considering the PNM transaction, beating the estimate provided at our Capital Markets Day. All these will allow us to offset the impact of the new revenue tax in Spain, which in any case, we have already appealed includes, the lawyer will explain to you later about that one. And we are convinced it’s not compatible with Spanish and Europe law and the part of rising interest rates. All in all, we expect in ‘23 net profit to grow 8% to 10%, great, if we consider the tax contribution in Spain already in ‘22 figures of mid single-digit, if we consider this impact only in 2023 figures. This outlook is fully in line with the forecast provided at our Capital Markets Day. To conclude our performance in 2022 and our prospect for 2023 give us even more confident in our ability to continue delivering our plan in creating sustainable value for shareholders, employees and the society. So thank you very much for your attention. And now, Ignacio will start the Q&A session. Thank you.
A - Ignacio Arambarri: Thank you, Chairman. The following professionals have asked the question that I will now submit to the top management, which is leading the event that we have now. Alberto Gandolfi, Goldman Sachs; Peter [indiscernible], Bank of America; Rob Pulleyn, Morgan Stanley; Manuel Palomo, Exane BNP Paribas; Jose Javier Ruiz, Barclays; Fernando Garcia, Royal Bank of Canada; Jorge Alonso, Societe Generale; Mark Freshney, Credit Suisse; Javier Suarez, Mediobanca; Daniel Rodriguez, Bestinver; Jorge Guimarães, JB Capital; and finally, Gonzalo Sánchez-Bordona, UBS. First question is related to the full year 2023 guidance. What are the main drivers of your guidance for the 2023? Are capital gains, one-off expected in the year?
Ignacio Galan: The main factors are, as I mentioned, in Renewables, we expect 3,000 megawatts of additional renewable which around 500 of those will be offshore wind. We expect, as I mentioned as well, higher production in hydro, is already higher production in hydro to the higher reserves and the normalization of the factors in the first quarter. Networks new rate cases in Brazil, United States and UK, which I think will increase our regulated asset base. We are already expecting to – we are recovering already. The retail deficit accumulated UK after the new regulatory measures and as well as certain adjustment in the price cap from April 2023. I think I’ve seen something like €200 million has been recovered from 300 or something that we have already in deficit from cumulative. Optimization financial profile as well diversification of financial instrument I think mostly green and this asset rotation and partnership. So I think we have already – the negative impact of revenue tax contribution, which is 1.2 of sales, which is something like €200 million, an increase as well of financial cost due to a higher rate of interest, as Pepe has already mentioned. PNM acquisition that we are confident that will be done already in the next few months. We are not expecting significant contribution in 2023 in any case. I think that’s why our expectation this year is to have already a high single digit if consider our revenue or 8% to 10% without considering that one.
Ignacio Arambarri: Second question is, can you please talk about the other item in the FFO figure which have shown circa 300 basis points improvement in the ration? What are these other items?
Pepe Sainz: Well, this has basically to do with the collection of the hydro tax. Last year, we took it out of the FFO because we had not collected it. This year, we have put it in because we have collected it. And that is the difference. And just one thing to complement what Chairman has said, in the results, we are not expecting a big or almost any contribution from capital gains from the asset rotation.
Ignacio Arambarri: Third question is related to the full year ‘23 guidance. Is this guidance based on an average hydro year? Could you provide sensitivity in the results if hydro is above average in the year?
Ignacio Galan: Armando, can you reply that one?
Armando Martínez: Yes. We expect normalization to average levels. I think this is after the drop last year and the rains during the last months. Today, Spanish reserves I think shows a level of reserves between 60% and 70%, so much higher than last year. So only data – hydro production in January and February in 2023 in Spain is more than doubling the last year’s figures.
Ignacio Arambarri: Next question. Can we – can you clarify that the 2023 net income includes the €200 million 1.2 tax revenue? Did you already include an assumption of the tax impact in your latest business plan? Chairman, the third question is, could you update us on the latest legal action against this measure, so three questions.
Ignacio Galan: I would like to confirm, I mentioned, but I would like to confirm in our projection, we are expecting around €200 million tax to be paid during 2023. And that is in our expectation this year, that is considered in our ‘23 guidance. So – and I think in terms of the legal things, Gerardo, can you reply on the action that you are taking in this moment?
Gerardo Codes: Thank you, Chairman. We have already challenged this measure. Based on this arbitrarian discriminatory due to this, it strongly affects some sectors and even in these sectors affected and those – these sectors are not in a comparable situation. And also the measure is impacting on revenues, not on extraordinary profits, I think that is important to mention. We consider that this contribution incurs in a breach of Spanish constitution and European law as the Chairman has said before. And we don’t expect this year session of the court, we will wait to the next year probably.
Ignacio Galan: Well, as you – I would like to insist on that one. I think we start talking about windfall profits, and we are – and the government was saying that they are going to charge on the windfall profits. I think we have losses, we have 90% less profit than previous year. So – because we have not extra profit, they charge already this in revenue, which I think what is the means of revenues. So – and that is why I think that is what – the legal department is already taking all the action for defending the interest of the shareholders as we work with it.
Ignacio Arambarri: Next question is related to the European IRA. What is your overview on this bank regulation? Question number five.
Ignacio Galan: So I think Massachusetts, I would like to say is moving in the right direction. I think you know I am already a European fan. So I think whatever thing is doing in Europe is always I am very supportive because they are very professional. They try to do the things in a proper manner. So I think that my opinion is Massachusetts is going in the right direction. So the fact the European Union has already before the IRA has already allocated 40% of the next-generation yield was already allocated for energy transition, so which I think 40% of €700 billion is €280 billion. The Americas is already euros – American are allocating $320 billion. So which I think is more or less the same amount that 1 year in advance European Union has already allocated for any transition. So I think the point is not the [indiscernible]. The point is how to accelerate the execution and that is precisely what European Union is proposing, measures to accelerate the execution of those funds to make these energy transition, measures for already reducing the period of permitting, measures to clarify the situation on the production green hydrogen, measures for already promoted renewable differing countries, measure to promote interconnection, measures to promote already more European energy market, measures to unify modern rules, etcetera, etcetera, etcetera. So that’s why I think is in my opinion is moving in the right direction and sure in the next a few weeks and months [indiscernible] will be even more making the same direction that has been made up to now.
Ignacio Arambarri: Next is, could you please comment on the proposed European Union Power market reform? What is the Iberdrola position proposals?
Ignacio Galan: So we agree on a reform. Always, we have agreed to reform those things to improve. I think we agreed in every front to improve the market but always recognizing that this market has already worked well. I think we have been – for 30 years, our light has been on. It has been known because we had already made the investment that the system required. We have already made the things in a direction, which promote a better service in Europe towards another geographical areas. And that is precisely what is being said by the resident statement for many associations and member states, including Germany, Netherlands, Sweden, Finland, etcetera, etcetera. So including the association of regulators, so the market has already gone well, but we need to already to make something. The first thing I think I would like to insist is we have to distinct some time the people is already not clear ideas around that. It’s two concepts. One is the market, another one is dispatching. One is trading energy, another one is dispatching power by plants. As the market is a bilateral thing already made between buyers and sellers. And I think in the case, for instance, in Spain, 80% of the electricity has been sold in advance to customers. So, only 20% is already linked to the spot. But in the daily basis, the system has already made – already produced the most efficient technologies. And for that, it’s already made in a daily basis, offers of all technologies, all the power plant to already – to dispatch only those ones which are more efficient. So it could happen. Last year, it happened that you have already sold your electricity, we did. We sold our electric in advance. But last year, we had not been able to dispatch our – all our power plants because we have not enough hydroelectric reserves. So we’ve been forced to buy in the market, in the daily market already this energy, which has already eroded our results, as you can already see. So that was an important thing, dispatching is one thing and marketing is a different one. So when we talk about the spot market, the spot market is a complementary thing to the bilateral agreements or PPAs or whatever kind of things, instrument we can already make this long-term. So that’s why, in my opinion, consumers must be offered more and more long-term contracting to protect from volatility, to improve competitive prices, and that is the key is to promote PPAs. These PPAs can be supplemented with the secondary market to increase liquidity, which I think that is precisely one of the areas which I’m sure has needed some kind of improvement on that one. Options, fine, if they are voluntary action. So whatever you would like to participate in this action is fine. CFDs, okay, fine, voluntary CFDs. Maybe that would be a solution for some situations. I think we have a lot of CFDs in Britain where they would like to promote offshore. And I think this offshore is not nobody is able to take or there are a few people which are able to take 100% of the power generated by these very large power plants. So this auction is fine to promote these sort of technologies. But I think something which makes very clear. Electricity is electricity. Independently, whatever is the technology or the date of construction of each plan. I think if we compare, petrol is petrol. Diesel is diesel. Independently of the origin of the refinery, or independently, the way it has been produced. So that’s why dispatching any system that runs is the merit order should be based always in the most efficient available technologies. But marketing is a bilateral thing that you have to negotiate with your customer in the best term as much as possible long-term. So I think we are in a situation in Europe requiring a huge investment in who would like to decarbonize and would like to become already a central piece in energy. If we cannot already make the tight measures, we will not make attractive this investment, which is absolutely needed. Europe requires hundreds of billions of euros investment and I think whatever intervention, whatever measure which is not already making the system attractive, will make that the money will move to other geographies where they are making it more attractive. That is precisely what is being said by the note which has been written by Germans, Dutch, Scandinavians, etcetera, etcetera, etcetera. And that is what is my position. So market is market. Dispatching is dispatching. They are two different things. And I think that is, in my opinion, we have to be already promote long-term contract and to promote more liquidity in these PPAs and long-term contracts to make already that the citizen can already benefit as has been benefiting already of the lower cost of those technologies who have lower cost.
Ignacio Arambarri: Moving now to UK regulation, can you please confirm whether you will be accepting the RIIO-ED2 price control from the 2023 period due by third of March 2023? And what is the potential for it to be appealed by the consumer group might be? Question number seven.
Ignacio Galan: Question number seven. So you talk about...
Ignacio Arambarri: The RIIO-ED2.
Ignacio Galan: So as I mentioned already, RIIO-T, the transmission, we have already the rate base up to 2026. We’ve been awarded with £2 billion. And probably that will be increased this amount because there are other projects which have not been given an increase, which is another interconnection the Eastern Link interconnection between Scotland and England, which probably will be all ready as well in the next few months already finally decided. In terms of RIIO-ED2, as I mentioned, the total exceeds €400 billion at nominal prices. So, equity remuneration is 4.75% post tax plus inflation, plus incentives, equity leverage of around 60%. And that is why we expect that with this investment, our regulated asset base will increase by 30% by the end of the regulatory period. I think this one is up to ‘28 – ‘23 to ‘28. That’s correct. So – and I think it’s – those are the main numbers, I think, okay?
Ignacio Arambarri: Can you please – can you provide an update on where we are in the approval process for the PNM acquisition?
Ignacio Galan: So as I mentioned, the new regulatory commission own member [indiscernible] has already been removed by December 30. A new regulatory commission, the three members have been appointed. So the Senate of New Mexico has already confirmed this one, has been as well in terms of the management of the Regulatory Commission, the head of the staff, the head of management has been nominated a new person. And I think they are already in line to studying already restudying again our deal, and we hope that that makes already a positive result in the next – in the coming months. So I think – but the first point is new people is appointed, I hope with different ambition of the previous one.
Ignacio Arambarri: Next question is, which are the key points under discussion on the U.S. rate cases versus current ones that will improve the achieved ROEs. Number nine.
Ignacio Galan: Which is the key points?
Ignacio Arambarri: The rate case is currently under discussion, negotiation in the U.S.
Ignacio Galan: I think – your reply Armando.
Armando Martínez: Okay. I think we are in very good progress. I have to say, we started filings in the state of New York, Maine, Connecticut and Massachusetts. We have already had a settlement reached in Massachusetts. So it’s done for 2023-2025. So for the rest, we are negotiating. We are in very good progress, and we expect new rates effective around the year, in New York for 3 years around May, May ‘23, April ‘26 and in Maine and Connecticut, also the same 3 years through August 23 to July 26 in Maine. And September ‘23, August ‘26 in Connecticut, so good progress.
Ignacio Arambarri: Number ten, can you provide a discussion for the realization of the New England Clean Energy Connect project, NECEC?
Ignacio Galan: Armando, whatever you like. You do that one.
Armando Martínez: We maintain – we still are very positive about the project. We have a lot of support from several stakeholders in the state. We have the trial scheduled for April 20 – this year, ‘23. And according to schedule, the decision will be in summer.
Gerardo Codes: Yes, I think that the court is going to – the judge is going to have a decision very, very soon. And we have had in the last year a positive decision from the Supreme Court of Maine. So we think that the judge will follow this decision.
Ignacio Arambarri: Eleven question, how have supply margins evolved in Spain over last month now that wholesale prices are down, generation cost is down, but final client selling price is benefiting from last year’s repricing?
Ignacio Galan: So I think we have already seen an increase in last month to certain things. I think it’s – the market dynamic is already making that the customer has more appetite to close long-term contracts at fixed prices. So people don’t like to live with the volatility they have been suffering, those who are already in this linked to the volatility. We have already a significant energy already – we are selling for an offshore wind – so I think recently, we signed in Germany, all the production of an offshore wind farm, which is going to be completed by 2027. Then it is already sold for the next 50 years. So as I mentioned, we need to already to make more incentive to PPA for making already more long-term. It’s funny because we have to highlight that Spain is the country with more PPAs in Europe. So – which I think we made a Spanish exception. The said exception is that in those countries where we have more people already with long-term contracts. And I think more than 21-gigawatt of renewable growing the country has already bilateral contracting with PPAs. So – but nevertheless, never forget the trends for the next – for the future is certain, the CapEx is going to increase. So we are increasing – we have seen increase in the CapEx of the – most of the new investment. We are already – the rate of interest is increasing as well. The inflation is affecting. So it’s certain, the regulatory uncertainty is not helping to reduce prices. So that’s why we have seen already a higher cost in renewables in the future, that is going to address higher prices. But that’s why – but they can already provide the stability, the predictability without being dependent on the volatility of the fossil fuels that we’ve been seeing during 2022. So – but I think for me, the point is long-term PPAs, long-term PPAs, long-term PPAs and to give already the customers to benefit of a stable, predictable prices along very many years to avoid already this one. That has been already happening in Spain. And unfortunately, because of the regulations and the Spanish reception, those customers have been benefiting of lower prices, which represent almost 80% of the energy. So has not – has been penalized to benefit another 20% who have not already had this sort of thing. I hope that, that ends soon. And I think the rules of the market will continue on the basis that we will avoid this volatility, especially for those which are the most vulnerable. And really those more vulnerable are those who are more heated. And I think we need already to give to them the predictability, stability, lower cost, which I think the renewables can already offer and we are offering another segment of the population as well.
Ignacio Arambarri: The question is regarding the UK liberalized market. What has presented UK liberalized to perform better in 2022? And what are the moving parts for the recovery mentioned in 2023?
Ignacio Galan: Armando, your reply.
Armando Martínez: Yes. I think the retail business last year has been very impacted by the price cap mechanism, as you know, in the prices and the high prices and gas market through the year. So the situation now is improving. We are recovering the positivity. This is very important news, thanks to the new rogatory measurements introduced. Also, we have heard that the new price cap for April, which is also improving the mechanism. So we are very positive that the situation are going to stabilize, and we are going to improve the retail business this year because of this stabilization of the situation.
Ignacio Arambarri: Next is how is cost inflation evolving for supply chains and how this is impacting leading hedge return in renewables?
Pepe Sainz: Well, as I mentioned already, those ones which is already signed and signing what is already made – built, is built and those ones which is committed, we have already closed the contracts. I think as I mentioned last year, we make orders for almost €80 million. But I think certain I already replied, the trend is increases in the CapEx of technologies, offshore, onshore and solar because certain of the components of those ones are more expensive. So steel is increased by almost from $300 a ton up to over $1,000 a ton. The inflation is affecting to the cost of the people which are already making the installation. The transport is more expensive. So all those ones is conducting, then the CapEx will be – is going to be higher in the future. So that’s why I think - but if the CapEx is higher and inflation is higher, the rate of freight is higher, the price – our costs will be higher. That is the main drivers of our cost, and that will be transferred to the prices. So certainly, if the trend continues on this basis, the prices we can already offer with the new power plant will pass already this extra cost – this extra CapEx which is increasing these extra costs.
Ignacio Arambarri: Next is number fifteen, 15. Do you expect a material increase in solar PV installation in Spain in the next 2, 3 years due to the big amount of EIAs granted by the authorities recently. Which are your assumptions for the Spanish market in terms of total market renewable capacity addition in the coming years?
Ignacio Galan: Armando, can you reply to that one?
Armando Martínez: As I said in regard to the EIAs, the permits, we have to say that we are a company with more megawatts with permits during the process. We have been resolved with almost 5,000 megawatts of positive environmental profit. So we remain very confident to increase our installed capacity of 12 megawatts we said in our plan in 2025, and we have a very strong quality and maturity pipeline that could be reached more than 10,000 megawatts.
Ignacio Arambarri: May I ask for an update on the U.S. offshore wind strategy in light of the cost inflation, negotiation of Park City, exits from Commonwealth wind and Iberdrola’s role in the future of the U.S. offshore wind market given likely returns.
Ignacio Galan: Well, I think I insist on that one. I think traditionally, all the auctions in America, you know very well has been based in a very stable and predictable cost with no inflation with a rate of interest almost at zero. So we – unfortunately, the things has already changed. And in this moment, a power plant will have to be built by ‘27 or ‘28, go with the case of Commonwealth wind or this other one, Park City. So I think when we ask for offers to the vendors, they increase heavily, the turbines. As I mentioned, the cost of the steel is booming. The vessels which are needed for an installation increase as well, the labor costs for making all this work is increased. And I think that makes them with the PPA, we agree at that time that things have already changed so much that we cannot already keep the same rule that they were. So I think that’s why we have been – we try to renegotiate the terms of those ones and I think that is the process. If we reach an agreement, fine. If we don’t reach an agreement in that case, we will cancel those ones, and we will go to new auctions. With that assured the new auction would reflect the new terms of this one. You have to contemplate the difference toward another countries. In the United States, in Britain for instance, when you make an auction, you have to have almost all the permits and you have to read the consent, which is just ready to build. In the case of United States, it’s the only thing you need already to have already cement. So access to area for building but you have no permit no design, nothing on that one. So that makes – then the process in the moment you made the offer up to the moment that the power plant is completed, can take by 5, 6, 7 years. So we – in the case – in another country, it takes much shorter. So I think that is the main thing on that one. Saying that, it’s no different than other countries, I think you see in Spain in the last few years has been awarded more than 6,000 megawatts of auctions and only 1,000 hardly has been in. So many people have been renouncing to this auction because I imagine the cost has already as well affected to their CapEx. And I think the price which they have already agreed is a price which they cannot really maintain in time.
Ignacio Arambarri: Based on the analysis of the U.S. IRA, could you upgrade your investment in renewables in this country?
Ignacio Galan: So I mentioned already in Renewables is much better visibility. I think we have much easier ways to monetize the ITCs and PTCs. And also one important thing, we have already potentially power an opportunity. Certain repair opportunities is something which is going to help us to grow already rapidly. Another area as well is the incentives given to the green hydrogen. So I think it’s very attractive. In this sense, we have already some projects in this moment for hydrogen with an agreement with Sempra. We’re now the Spanish – or the American utilities to make already green hydrogen, to make we did green ammonia, and we are already in the descending phase. So – and again, we expect already additional returns for the – with this in – for existing wind farms and certain for the future in fact, we can already build in the future. But I think it’s a positive thing for expanding in many areas of that one.
Ignacio Arambarri: Next is any color on Mexico? What can be expected on licenses, renewable and renewable capacity installation?
Ignacio Galan: So very easy. So I think we have nothing done, and we not plan to make anything in this environment. That’s it. So we’ve been moving for investment on the range of €1 billion, €1 billion something per annum to a range of almost €100 million, yes, which is more in maintenance.
Ignacio Arambarri: Next is, can you provide an update on your asset rotation strategy on the renewables front?
Ignacio Galan: Can you...
Ignacio Arambarri: Number nineteen, 19.
Ignacio Galan: Can you provide an update...
Ignacio Arambarri: Asset rotation strategy. Renewables.
Ignacio Galan: Well, I think I mentioned already, the thing is we are already with several projects in this moment ongoing. I think we just reached an agreement with Northeast. we had already last year, we make an agreement with MAPFRE. We have already another one which are ongoing. So I think that is going on. That is for renewable, but I think we have already for transmission, I mentioned in Brazil. I think we are in the last stage already for closing a deal with somebody for making a joint venture for transmission. And we have already recently made another one in the – in offshore, Germany with GIP – EIP. So I think we are just in a continuous basis. I think that’s going well, and that is something which is going to – we are going to make already even earlier than expected.
Ignacio Arambarri: Next is, could you update us about the possibility of the divestment of a stake in portfolio of renewable assets in the U.S? So the sale of a stake in the U.S., are you perceiving any pressure on transaction multiples resulting from the higher rate environment?
Ignacio Galan: Well, we are already seeing – always saw the – as you know, we analyze always all our possibilities of our assets. I think that is one of possibility. So we are looking that one and I don’t know what is going to be the decision, but that is a possibility of selling a stake of our renewables in United States.
Ignacio Arambarri: And last question is, could you update us on any intention of non-organic growth in Brazil?
Ignacio Galan: So you refer on the – some of the things which are now in the market. The answer is we have not any plan to go ahead with this opportunity with coal sale. So we have not any interest in coal sales. So that is very clear. So in another one, I think we are very much concentrated in Brazil with our organic growth. We have already integrated – fully integrated Brasilia and we have a lot of work to do already with our transmission business. And we have a lot to do already with our network business with the new rate cases, which is already foreseen a huge investment required. So I think that is our vision in this moment. Not any interest in any new things which are already today on the table.
Ignacio Arambarri: Okay. Now before I give the floor to Mr. Galan to conclude this event. I need to introduce to you, Gerardo Codes, Head of our Legal Services, which has been with us in previous results presentation. So now yes, Mr. Chairman, the floor is yours.
Ignacio Galan: Thank you very much for taking part in this conference. Let me remind us always that our Investor Relations team will be available for any further information you may require. Thank you. See you soon. Thank you.